Operator: Good day, and thank you for standing by. Welcome to the Albany International First Quarter 2024 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, JC Chetnani, VP of Investor Relations and Treasurer. 
JC Chetnani: Thank you, operator, and good morning, everyone. Welcome to Albany International's First Quarter 2024 Earnings Conference Call. As a reminder for those listening on the call, please refer to our press release issued last night detailing our quarterly financial results. Contained in the text of the release is a notice regarding our forward-looking statements and the use of certain non-GAAP financial measures and their reconciliation to GAAP.
 For the purposes of this conference call, those same statements apply to our verbal remarks this morning. Today, we will make statements that are forward-looking and contain a number of risks and uncertainties, which could cause actual results to differ from those expressed or implied. For a full discussion of these risks and uncertainties, please refer to both our earnings release of April 29, 2024, as well as our SEC filings, including our 10-K.
 Now I will turn the call over to Gunnar Kleveland, our President and CEO, who will provide opening remarks. Gunnar? 
Gunnar Kleveland: Thank you, JC. Good morning, and welcome, everyone. Thank you for joining our first quarter earnings call. I'll provide an overview of our business performance, and Rob will later discuss our financial results in detail. We had another good quarter as our businesses delivered solid results and are executing to their plans. Machine Clothing grew year-over-year, primarily driven by our Heimbach acquisition, offset by lower organic demand, primarily in Europe. North America remains strong, and our global order backlog has improved from the beginning of the year, which provides us confidence in our full year guide.
 Integration at Heimbach is making excellent progress. We implemented a 2-brand strategy, which has been well received by the market. Procurement and supply chain continued to see savings and we have been integrating functions across both our organizations. We continuously assess our global manufacturing capacity and footprint. And recently, we announced that we are closing our South Korea facility and transferring capacity to other sites. We also sold a nonmanufacturing location in Sweden, further optimizing our footprint.
 We will continue to evaluate other opportunities as the year progresses with the integration actions occurring in late 2024 and into 2025. We expect meaningful margin expansion as the integration progresses. Moving to our Engineered Composites segment. We are pleased to see continued ramp-up on our programs, especially on the commercial side, including space and other emerging platforms. On the defense side, for the year, we see growth on our CH-53K and JASSM platforms, offset by relative weakness on our Joint Strike Fighter program. Overall, we are reporting growth of over 10% in revenue versus the prior year on a constant currency basis. Additionally, our profitability continues to improve with adjusted EBITDA margins of 19.4%, up 120 basis points versus the prior year. This reflects our long-term strategy of winning newer programs with higher profit margins.
 Turning to the LEAP program. We've been working closely with Safran to set the 2024 production plan in light of the situation at Boeing. We anticipate LEAP revenue to be relatively flat with the prior year. As a reminder, the LEAP engine is used on both Boeing and Airbus aircraft, both of whom have multiyear backlogs. Finally, for AEC, we continue to develop a healthy business development pipeline with continued wins across various platforms. In the quarter, Sikorsky awarded Albany a long-term agreement for future CH-53K lots on all our legacy content, similar in duration to the previously announced Aft Transition LTA. This represents the largest contract award in AEC history next to our LEAP program.
 Given that our expertise in research and technology is critical to the success of Albany, we have created a new role of Senior Vice President and Chief Technology Officer of Albany International reporting directly to me. We have promoted Rob Hansen from his prior role as Senior VP of Research and Development at Machine Clothing to this role. By aligning closely with the leadership team, we have the opportunity to leverage our unique competitive technological capabilities to accelerate impactful innovation across our businesses. And with that, I'll hand it over to Rob to provide more details on the quarter. Rob? 
Robert Starr: Thank you, Gunnar, and good morning, everyone. I will review our first quarter results of 2024 and then provide our outlook for the balance of the year.
 During the quarter, our businesses executed to their plans. Consolidated net sales came in at $313 million, up 16.4% from the first quarter of last year. The growth was driven by a combination of the contribution from Heimbach and organic growth at Engineered Composites. Machine Clothing net sales increased 20.9% versus the first quarter of the prior year, driven by Heimbach, partially offset by a 2.8% decline in organic sales, which was largely concentrated in publication grades.
 Market conditions remain largely unchanged with North American markets remaining strong, European markets continuing to be soft and Asian market showing signs of slow recovery. AEC sales of $128 million increased 10.6% from the first quarter of 2023. Our growth was driven by our commercial programs, especially on our 787 space and emerging platforms. This growth was slightly offset by our defense programs, much of the first quarter drop in defense related to the rolling off of onetime revenue related to standing up the CH-53K Aft Transition production line in 2023.
 However, we can see continued ramp-up of recurring CH-53K production for the balance of 2024. Consolidated gross profit was $109 million, up $9 million or 9.4% from the same period last year. Machine Clothing gross margin decreased from 50.8% in the first quarter of 2023 to 45.7% in 2024, with the reduction primarily driven by the inclusion of Heimbach. Excluding Heimbach, Machine Clothing gross margins increased to 52.1%, reflecting favorable mix and cost controls.
 AEC gross margin also grew with margins at 18.8%, up 30 basis points versus the same period last year. This reflects our strategy of pursuing higher-margin programs and the resulting improvement in product mix. Note that for the quarter, we recognized a net unfavorable change in the estimated profitability on our long-term contracts of $0.9 million, in line with a net unfavorable change of $0.7 million in the first quarter of last year.
 Net R&D expenses were generally in line with the prior year and represent approximately 4% of our revenues. This represents our continued investment in research and development to further differentiate our products. SG&A expenses for the quarter increased by 13.1%, but this was due to the Heimbach acquisition. As a percentage of revenue, SG&A decreased from 18% to 17.5% as we benefit from increased scale. Corporate expenses increased $0.5 million, primarily due to acquisition and integration-related expenses. However, adjusted corporate expenses decreased by $1.5 million versus the prior year.
 Our effective tax rate for the quarter was 29.2% versus 28.2% in the prior year and generally in line with our long-term guide of 30%. GAAP net income attributable to the company for the quarter was $27.3 million compared to $26.9 million last year. GAAP diluted EPS was $0.87 per share in this quarter versus $0.86 in the same period last year. After adjustments primarily related to the Heimbach acquisition, as detailed in our non-GAAP reconciliation, the adjusted EPS on a diluted basis was $0.90 compared to $0.91 in the same period last year.
 Consolidated adjusted EBITDA of $65 million for the first quarter increased 8% from the prior year period. Machine Clothing adjusted EBITDA, including Heimbach, was at $55.5 million and was generally in line with the prior year of $55.7 million. Adjusted EBITDA margins were 30% versus 36.4% of the prior year, with the decrease driven by the inclusion of Heimbach. AEC adjusted EBITDA was $24.8 million, a 17.9% improvement over the prior year. Adjusted margins at AEC were 19.4% of sales, a 120 basis point improvement over the prior year period.
 During the first quarter, free cash flow was a use of $17 million with positive operating cash flow of $10 million, offset by capital expenditures of $27 million. We further strengthened our balance sheet and paid down over $17 million of debt and are focused on repatriating our non-U.S. cash to help minimize our outstanding debt. Our balance sheet remains strong with a cash balance of over $125 million and over $370 million of borrowing capacity under our committed credit facility. Our net leverage at the end of the quarter was 1.2x.
 Turning to our outlook for the balance of 2024, we are reaffirming our guide for the year. Our Q1 performance was in line with our plan, and we are confident that we will meet our full year guide. Now I'd like to turn the call over for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Peter Arment of Baird. 
Peter Arment: I just wanted to ask a question on, maybe you can level set us on kind of the LEAP program. I know you've got a 2026 target out there for revenues. Just how do we think about kind of where you are today and how you see that transitioning? 
Gunnar Kleveland: I think it's a good question, but I also think that as we're looking through '24 as a flat year, going into '25 and '26, Boeing will recapture and continue to grow. And if you look at the whole portfolio, Peter, I see still no challenges with meeting our '26 goal. 
Peter Arment: All right.  Very helpful. And then just on MC. I guess, it sounds like the integration of Heimbach's going very well. But you've talked a little bit about footprint consolidation South Korea and Sweden. Is there a number in mind? I mean you have, I think, prior to maybe the South Korea announcement you had '23 plants and R&D centers, what's optimal for the MC business? 
Gunnar Kleveland: Yes. I think as we look at the whole business and the South Korea business was Albany business, not the Heimbach business. So when we look at our total footprint and where our customers are, we will make decisions based on that. And I'm not going to go into details for what we're going to do, but we will continue to evaluate the situation throughout the year and continue to take actions that optimizes our footprint and our ability to support our customers. 
Peter Arment: Okay. And just one last one. Rob, you mentioned that publication grades was weak. If I remember correctly, that was still kind of a overall mix was like kind of in the teens as a percentage. Is that still correct? 
Robert Starr: Yes, it is. 
Operator: Our next question comes from the line of Michael Ciarmoli of Truist Securities. 
Michael Ciarmoli: Gunnar, maybe just to go back to Peter's first line of questioning. Can you kind of just dissect the AEC growth this year at the midpoint? And I think you already had LEAP as being flat. So I guess that program is flat. I guess, the CH-53K on the kind of onetime down F-35 under pressure. Can you give us maybe some of the buckets that are driving growth, maybe talk to the Gen X, talk to if there's any progress with the 9X or what's really kind of anchoring that growth at the midpoint of the guidance this year? 
Gunnar Kleveland: Yes. And we really see most of the growth this year coming from new wins and new programs. Space is a significant growth area for us. And -- but when you look at the CH-53K, there is growth there throughout the year, even though we don't have the I think JSF will also be flattish together with the LEAP. So -- but I still have no full confidence that the other programs that we are growing on the military side, JASSM is a strong growth for us. But our new wins and additional wins will give us confidence on the growth rate. 
Michael Ciarmoli: Okay. Got it. And then just, I guess, shifting to Machine Clothing. I guess, organically down 4% in the quarter, Europe weak, but I think if I heard you correct, you said the backlog was up and you've got confidence there. Can you maybe just give us what you're seeing kind of geographically? And what's sort of driving some of that, I guess, positive book-to-bill and order activity? 
Gunnar Kleveland: The macro -- we had a very strong fourth quarter of Machine Clothing. And coming into first quarter, we kind of expected it to be a little lighter. We saw that. But as we come to the end of the quarter, our backlog is growing in line with our expectations. North America is very strong. We see some recovery in Asia. And Europe remains very soft. Some of the macro indications, some of our end customers are seeing signs of recovery around the globe. I think Europe will probably have soft through the year, but offset by the U.S., in particular, and by Asia. 
Michael Ciarmoli: Got it. Last one for me. I think you talked about the -- with Heimbach, the both two brand strategy. Can you maybe just elaborate what exactly you're doing there? And maybe give us some details whether it's by product offerings, by pricing or -- and how that -- how you expect that to play out? 
Gunnar Kleveland: And it's exactly that, Michael. We're going in with the two brands that our customers are used to. We have differentiated technology between the two businesses and in some paper machines, for example, we have -- we can come in with forming, pressing, drying and other belts, supporting belts from the two companies and really complement the entire machine. So this is working. I know that the company many years ago have done integrations before and not use the two brand strategy and it wasn't very successful. So, so far, I would say that we're very positive on this approach and our customers are staying with us. 
Operator: Our next question comes from the line of Jordan Lyonnais of Bank of America. 
Jordan Lyonnais: Would you guys be able to quantify how many blades are in excess inventory for Safran, GE, CFM overall and what visibility you guys have into those excess inventory levels? 
Gunnar Kleveland: Yes. We do not have insight into what our customer have in inventory. We have a plan, like I stated earlier, with Safran on what we're building to, and we're building that -- being that the growth of the engines are 10% to 15% this year, and we will stay at a flat level. I would venture to guess that the inventories are going to be smaller, but I don't know what it is. I expect us to continue to grow next year but flat this year. 
Jordan Lyonnais: Okay. And then just a follow-up, too. So on the fence for the F-35 in JASSM missiles, the cuts that came in with the presidential budget request, is there any concern from year-end if JASSM was cut almost 45%, but that's going to be one of your growth pieces sort of events? 
Gunnar Kleveland: So what we're seeing right now is significant growth from where we were last year and the year before. We did see the reduction that has not been in the presidential budget. That has not been translated to orders to us, but the growth in this year and into next year is quite significant. 
Operator: Our next question comes from the line of Gautam Khanna of TD Cowen. 
Jack Ayers: This is Jack on for Gautam. Nice results here. Rob, quick question just on AEC and totally understand the dynamics with LEAP kind of flat this year. GE and Safran are both talking about LEAP up 10% to 15%. And really, the rationale of my question is for you guys at the cost plus contract, and I know you guys don't have great visibility into sort of channel inventories, but how should we think about that moving forward taking into account it is cost plus. So quarter after quarter, year after year as you guys get up the learning curve, costs come down, how should we think about unit volumes versus absolute sales dollars for your LEAP program? 
Gunnar Kleveland: What we have -- and it's a good question. And we are looking to improve the cost on this program. But there's also some improvement in margins as the cost comes down. So what we have forecasted for 2026 at the $200 million level for this program remains accurate. You want to add? 
Robert Starr: Yes, I would just add, Jack. I mean what you'll see is there's not a linear relationship between revenue and unit volume, to your point, as we do take cost out. So we feel really good about the strength of the LEAP program, and we are going to be able to grow revenue there, just not as quickly as the underlying volume increases would indicate. But it's also -- the LEAP program is super critical for the commercialization of our 3D technology, which allows us to produce that at a lower cost, which then opens up a lot of other avenues for that technology. 
Jack Ayers: Yes. Okay. Totally. I get it. And then just kind of switching to MC here, Rob. For Heimbach, are you guys still thinking that is going to come in relatively flat year-over-year? Any incremental updates for Heimbach in '24 sales? 
Robert Starr: Sure. Yes. I mean I think the general perspective is we're going to be somewhere around flat for the year for Heimbach. And the focus there, of course, is on integration is really combining the teams. I mean that's going to be a huge focus for us as we go through our '24 and into '25. 
Jack Ayers: Okay. And then just one last one off of that. Obviously, the integration is going well it seems like. Are you guys still kind of sticking to that year 3 target of that 3.5, 4x sort of net synergy, post-synergy, purchase multiple. Is that still hold today for Heimbach? 
Robert Starr: It does. It does. We're executing on the integration plan. And at this stage, we're definitely confident in our ability to achieve those synergies over that time frame. 
Operator: Our next question comes from the line of Chigusa Katoku of JPM. 
Chigusa Katoku: This is Chigusa Katoku on for Steve Tusa. My first question is on the AEC margins. I think it looks like historically, Q1 is the low point for margins seasonally for AEC. I was just wondering if we should expect margins to be higher than these levels for the balance of the year? 
Robert Starr: Yes. No, good question. So I mean if you look at our kind of implied margin guide for the balance of the year, on average, it will be higher than the 19.4% we posted in Q1. The implied range for the balance of the year is 19.4% to 20%. So we're certainly working hard to do well on the margins. And we feel really confident with our backlog and the position we have on the contracts to have a very solid year at AEC. 
Chigusa Katoku: Okay. Great. And then on MC. So core revenues declined this quarter after growing last quarter. And I was just wondering if the environment deteriorated this quarter and also if you expect core revenues to decline for the balance of the year. 
Robert Starr: Yes. I think what you saw -- we came off a very strong fourth quarter. And it's really -- as we look at the backlog building, that's what gives us confidence in the full year top line forecast for Machine Clothing. So we are expecting to see in the back half of the year, higher average quarterly sales levels in Machine Clothing relative to what we saw in Q1. 
Operator: [Operator Instructions] Our next question comes from the line of Pete Skibitski of Alembic Global. 
Peter Skibitski: So one thing I wanted to clarify, we've been talking about JASSM a lot. I want to understand, do you guys also have content on the LRASM, which my understanding is sort of a cousin variant of JASSM. And so I wasn't sure if you also had content there, but just don't talk about it a lot. I guess I'll start with that one. 
Gunnar Kleveland: Yes. We have several new programs in missiles that we have not announced yet that we are in the early phases of providing parts and potentially getting contracts. 
Peter Skibitski: Okay. Okay. That was actually my next question, Gunnar. When do you -- when would you guys be comfortable do you think talking about some of these new programs and potential sizes, I guess, not just in missiles, but space as well? 
Gunnar Kleveland: Yes. And we will -- and we announced our contract with Sikorsky today. We will continue to update you all on new contracts as we win them. But in some cases, our customers -- that takes a while before they let us share the content of the contract. But that is our intention, and we'll continue to do that. Big programs like that is definitely something we want to share and continue to follow. 
Peter Skibitski: Understood. I appreciate it. And then I just want to ask, we haven't talked about 787 yet, I don't think, and not necessarily your biggest program, but [indiscernible] kind of a chunky program for you. And of course, Boeing is talking about taking down production rates this year because of some supply chain issues, I think, unrelated to you guys. But has your expectation for revenue on that program changed this year? Is it maybe looking flat to down this year with a '25 recovery expected? 
Gunnar Kleveland: So we had a good first quarter on 787. And you're right, it's -- the supply chain issues is not us. It is -- I think we expect it to grow to 7 through the end of the year. It might -- the forecast right now says 5. So it will be a little lower than we expected, but not material, for the AEC business. 
Peter Skibitski: Yes. Okay. Got it. And then last one for me. Rob, you talked about, I think, repatriating, non-U.S. cash. I'm just wondering kind of what percentage you guys hold overseas? And if you expect to take any kind of a tax hit on that or not? 
Robert Starr: Yes. No, good question. Yes. The majority of our cash -- the large majority of our cash is overseas. And we have the ability to -- through working through the different government contracts or to bring back the cash pretty much tax free. Not always. It will depend. I mean, we did have an exit tax that we paid. We brought some cash back from Asia. But by and large, it's pretty nominal, Pete, the friction that we see. And the opportunity cost, right, our debt right now on the floating side is about 7%. So it really is an important initiative on our part to really optimize our cash balances globally. And JC and the team have been working very hard on that. 
Operator: I'm showing no further questions at this time. I would now like to turn it back to Gunnar Kleveland, President and CEO, for closing remarks. 
Gunnar Kleveland: Thank you. And thank you, everyone, for joining us on the call today. We appreciate your continued interest in Albany International. Thank you, and have a good day. 
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.